Operator: Good day, and welcome to the ConnectOne Bancorp, Inc. Third Quarter 2017 Earnings Call. Today's conference is being recorded. At this time, I'd like to turn the conference over to Mr. Joe Calabrese with the Financial Relations Board. Please go ahead, sir.
Joe Calabrese: Thanks, David. Good morning. And welcome to today's conference call to review ConnectOne's results for the third quarter of 2017, and to update you on recent developments. On today's conference call will be Frank Sorrentino, Chairman and Chief Executive Officer and Bill Burns, Chief Financial Officer. The results, as well as notice of the accessibility of this conference call on a listen only basis over the Internet, was distributed this morning in a press release that has been covered by the financial media. At this time, let me remind you that certain statements and assumptions in this conference call contain or are based upon forward-looking information, and are being made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Such forward-looking statements are subject to numerous assumptions, uncertainties and known or unknown risks, which could cause actual results to differ materially from those anticipated. These risk factors are more fully disclosed in the Company's filings with the Securities and Exchange Commission. The forward-looking statements included in this conference call are only made as of the date of this call, and the Company is not obligated to publicly update or revise them. In addition, certain terms used in this call are non-GAAP financial measures. Reconciliations of which are provided in the Company's earnings release in accompanying tables of schedules, which have been filed on Form 8-K with the SEC on October 26, 2017, and may also be accessed through the Company's Web site at ir.connectonebank.com. Each listener is encouraged to review those reconciliations provided in the earnings release together with all and other information provided in release. I will now turn the call over to Frank Sorrentino. Frank, please go ahead.
Frank Sorrentino: Thank you, Joe. Good morning, everyone. Welcome to our third quarter 2017 earnings call. During the call, I'll outline some of the highlights of our operating performance and Bill will take us through some of the numbers in a little bit more detail, we'll then turn the call over for any Q&A. This quarter produced very solid operating and financial results, highlighting our consistent execution against key operating objectives and continued ability to capitalize on opportunities in serving our growing client base. For the quarter, ConnectOne earned net income of $13.1 million or $0.41 per share, which on its own is impressive. However, excluding taxi, we earned $0.46 per share, up 10% sequentially from $0.42 last quarter and up 15% from the year ago quarter on an operating basis. Our operating results were very strong by any measure, with return on tangible equity surpassing 14% and return on assets of 1.25%. Importantly, our third quarter and year-to-date results reflect our continued success in executing against key objectives, which include maintaining strong organic loan and deposit growth, delivery accelerated and sustained earnings growth, improving return on equity and building and refining our infrastructure. As for the deposit growth, as we’ve talked about before, a principal focus of this Company is further developing our ability to accelerate core deposit growth. So that it is commensurate with ConnectOne’s strong loan growth. We’ve seen that this quarter with total core deposits increasing by 17.5% on an annualized basis. We’ve extended our competitive position, gaining market share and achieve strong progress in our deposit growth in part through operational excellence and our strategy of high quality client service, as well as our competitive rate structures. At ConnectOne, we set ourselves apart by making it easier for our clients to do business with us, providing the right level of interaction with the client and the banker. We are relentlessly focused on providing quality service, great convenience, simplicity and access. We’re also expanding our New York footprint with the planned opening of an additional office center in Melville, Long Island, which continues to move the center of our organization further east. Two years ago, we opened our first office in Midtown, Manhattan, and now New York represents a growing portion of our balance sheet. Our expansion in Long Island is a natural expansion of our in-market focus, and we continue to see opportunities in those markets that mirror our New Jersey presence. As discussed last quarter, we have bolstered our team with cash management specialists whose deep experience will create additional opportunities for deposit gathering at ConnectOne. The opportunity to expanding for Long Island will support this focus. Looking ahead to the remainder of 2017 and into 2018, we believe ConnectOne is positioned to achieve continued deposit growth by increasing our commercial loan portfolio, by expansion into new markets becoming devoid of like-minded companies, by enhancing our cash management service capabilities, by expanding our municipal and private school relationships and by utilization of our modern branch model, which allows our staff to focus on sales. During the quarter, we also continued to build momentum in loan originations and loan growth. Our loans receivable of $3.9 billion at September 30th reflected loan growth of approximately $130 million. And loan growth year-to-date is more than $400 million or 16% on annualized basis. Our third quarter loan growth is consistent with historical levels and reflects strong performance in both the CRE and non-CRE segments. Consistent with the ongoing potential of our strategic focus, growth by non-CRE loans increased at an annualized pace of 21.7%. In terms of our CRE lending, our multifamily segment exhibited large increase as we were able to take advantage of increasing rates and capitalize on the lack of client service by competitors to on-board some new relationships. Due to that substantial growth, we earmarked approximately $40 million of non-relationship multifamily loans to be sold in order to maintain diversified portfolio growth, and generate some additional income. Meanwhile, consistent with our disciplined approach, our construction book paid down slightly during the quarter, as expected, as projects were successfully completed. Our construction pipeline remains solid and strong with new projects, which we expect to be funded in the near future. We also continue to make progress in increasing our residential loans held in portfolio for our selected business clients. Looking ahead, the expectation over the coming quarters is for loan growth to remain at historical low to mid teen levels, which will reduce higher pressure on our loan to deposit ratio. Beyond the financial performance, as a technology forward bank, we continue to invest in tools that help us to improve our processes and create additional operating leverage, while also allowing us to better serve and broaden our relationships with our clients. By leveraging our platform, we're continuing to support our best in class sufficiency metrics, and at the same time, enhancing our excellent reputation for sense of urgency with those clients. Our previously mentioned Encino implementation is going well, which provide ConnectOne with one of the most efficient and streamlined deposit and loan operating systems in the industry. By investing in continual process improvement in all areas of the bank, we're continuing to position the Company for the future. However, I think it's important to note, we do not see these initiatives as cost cutting but rather as a strategy to run a highly efficient model that reduces friction and pain points with our clients. In summary, we're diligently building an increasingly stronger Company and that strength is reflected in our year-to-date operating results. We're well positioned to take advantage of the market disruption, resulting from the recent M&A wave. This disruption continues to provide an enormous pipeline of potential clients, as well as a steady stream of highly qualified team members who feel that dislocation. We are creating value for our shareholders by approaching our stated objective of earnings efficient capital to self fund our growth. As we move towards the end of the year and into 2018, we continue to manage the Company carefully, balancing our growth, expenses and investments and maintaining a strong balance sheet and continually innovating to ensure the future growth. At this time, I'd like to ask Bill Burns, our Chief Financial Officer to review some of the highlights of our third quarter financial performance. Bill?
Bill Burns: Thank you, Frank. So, as Frank just mentioned, we had another great quarter by all measures, reflecting the continued strength of our operating model. On an operating basis, which excludes taxi, we earned $0.46 for the quarter, up about 10% sequentially and that's a couple of penny ahead of where the Street was expecting us on an operating basis. Return on tangible common equity nearly hit our 15% objective, reaching 14.5%, and operating return on asset was 1.25%, that's among the very best in our peer group. Tangible book value per share increased another $0.36 this quarter and $0.82 for the first nine months to $12.78. That's despite all the reserves we've taken. And our efficiency ratio improved to below 40% for the first time. And although, we may be above or below that 40% threshold for the near future, the objective down the road is to remain below 40%. So, how did we accomplish this quarter? First and foremost, it was through strong organic balance sheet growth, average interest earning assets, primarily loans and deposits, both increased 5% sequentially. Meanwhile, the net interest margin was essentially flat, compression of just 1 basis point. On the positive side, regarding the NIM, our loans are being originated at rates slightly higher than they're maturing or prepay. Just couple of drivers to these rising loan yields; one is, we're continuing to get better spread today than we did earlier this year and last year when competitive pricing was very aggressive. And secondly, our focus has been on C&I where we're getting really good rates and fees above 5% total return with spreads pushing 4% or higher. Offsetting the loan yield increases, we're experiencing a good deal of rate competition with deposits. And like most banks, we've been forced recently to raise rates at the retail level for short for tax and deposits we have and to gather more deposits, and same holds for some select business deposits. Meanwhile, we're continuing to show progress in attracting and retaining non-interest bearing demand balances and that offset some of the pressure from higher deposit rates. Naturally, we're going to try to focus on building non-interest bearing demand. Now, onto our securities portfolio, where volumes were flat over the past quarter. However, I do see securities purchases in the fourth quarter as investment rates had become a little more attractive, we had been on the sidelines temporarily. Our investment focus will continue to be on government-backed mortgage related securities with yields of approximately 3%. The tax adjusted yields on the portfolio fell this quarter to 3.03 from 3.16, and that was due to increased prepayment activity. This could continue into the fourth quarter and then most slightly stabilize. Going forward, I’m projecting naturally continued increases in net interest income, and that’s going to be driven by loan growth. With the margin being flat to slightly down, especially in a flattening yield curve environment. And the net interest margin, I think, you all know was hard to predict precisely. It is impacted by loan mix, our success in raising low cost relation deposits, as well as competitive forces, which we can’t always control. On the expense side, we continue to have one of the most efficient banking models with about 50% less branches than the typical bank our size. So when you combine that with the management team and staff that focuses on technology and cost control, we’re able to generate best-in-class efficiency metrics. And expense growth has been quite contained, especially recently. Our expense space has been flat the past two quarters and that’s one of the driving forces behind earnings momentum. So efficiency drives returns, obviously, but in my opinion there is an indirect benefit here and that it positions us be less pressured to take undue credit risk or interest rate risk to drive earnings. And notwithstanding all these remarks, I do expect expenses to start increasing at a rate in the high single digits annualized for the next couple of quarters. We have recently added to staff, especially around our deposit generation initiatives, as well as in the back office. And let me touch on taxi a little bit for this quarter. We did take a $3 million charge. And that brings our valuation for medallion down to 348,000 per medallion. Meanwhile, we’ve had considerable success in renegotiating payment terms with several taxi medallion owners and the portfolio of continues to cash flow well. And as such, we are considering returning these loans back to the held for investing portfolio below, no decision has been made at the current time. Outside of the taxi portfolio, credit quality remained excellent. We had zero charge-offs in the third quarter and non-accrual loans decline. Now, let me turn to CRE concentration. While we remain a disciplined and established commercial real estate lender, our goal is to reduce our regulatory-defined CRE concentration metrics. Ideally, we’d like to see our ratio now at about 540% after the loan sale, drop to below 500 over time, and we believe there are few ways we can achieve this. The best way is to continue to build on our momentum coming from our Sales&I team as attractive loan rates, combined with deposit generation potential and this makes us a very attractive business on a risk adjusted ROE basis. But in addition, we plan to continue to sell non-relationship CRE. We have $40 million in the held for sale portfolio right now, and expect some more of this going forward. And secondly, given the current favorable pricing in the sub-debt markets in the low interest rate environment, we could do another issuance of sub-debt and that issuance would serve to reduce our concentration by anywhere from 25 to 50 percentage points. And the costs, I think, would be minimal, probably $0.02 or so of EPS per year. And with that, I will turn the call back over to Frank.
Frank Sorrentino: Thank you very much, Phil. Before turning the conference call over to your questions, I’d like to take a moment just to review our strategic priorities and outlook for the remainder of 2017 and into 2018. ConnectOne’s management team continues to believe the overall environment provide significant opportunity to increase size and scale in a disciplined fashion. Our continuing momentum has provided enhanced earnings, building the book value and in turn better value for our shareholders. As we said last quarter, ConnectOne strategic position provides a very strong competitive advantage to deliver on our near term priorities by expanding the reach of our organization into New York and attracting new bankers and expanding our product offerings; by focusing on strong deposit growth in the commercial market; by maintaining a disciplined approach to our loan growth; by continued focus on personalized service vacated by the largest institutions; and by banks leaving our markets due to consolidation; and by building the Company with the operational excellence that creates scarcity value in the marketplace. We're moving ahead with a very solid capital foundation, and we remain on track to achieve our objectives to further strengthen our balance sheet, grow profits and book value per share for the full year. Looking ahead, our strategy remains consistent and we're confident that ConnectOne's business model will deliver strong long term shareholder returns. I will also like to mention that the banking market continues to consolidate and potentially new tailwinds in the regulatory framework maybe at our back. While our organic growth can sustain our plans, ConnectOne is creating an organization well suited to take advantage in the M&A environment, either by combing with a well suited partner or providing a near unique platform in the market we serve. This concludes our prepared comments. We're now going to turn the call over to the operator and open it up to any questions you may have.
Operator: [Operator Instructions] And we'll take our first question from Collyn Gilbert with KBW. Please go ahead, your line is open.
Collyn Gilbert: Bill, just to clarify some of the comments you made, first on the expenses. So did you say that you expect expense growth to be in the high single-digits annualized for the next few quarters? Is that what you said?
Bill Burns: Yes, that's what I said.
Collyn Gilbert: And then on the CRE plans, so, I know you obviously tagged the $40 million to sell in the fourth quarter. Do you have, have you bracketed a dollar amount of what you think you could sell, going forward?
Bill Burns: Not exactly, and I don't think we’ll be in the next, or we do it every quarter, but probably a couple of times in the next year we'll do another portfolio -- group of loans similar size to what we did this quarter.
Collyn Gilbert: And is that the motivation of that, I mean obviously to get the concentration level lower. But beyond that, is it just internally driven by you all or is this regulatory driven, or what's made you do it?
Bill Burns: No, it's totally internally driven. And again, it's non-relationship multi-family in this case. And so there're no deposits associated with it and our origination franchise is so strong. It's just another way for us to earn more money with -- we'll get some slight gains from signing these loans, and then have the added benefit of reducing the CRE concentration.
Collyn Gilbert: And then on the taxi side, interestingly that you're considering putting it back to the loan -- into the loan book -- and I know you had indicated that the performance of it is improving. But can you just talk a little bit more about that decision, or how you're thinking about that?
Frank Sorrentino: Collyn, I'll take a first stab at that. We're seeing lots of progress with some of the loans that we have today, either in restructuring those transactions with existing borrowers or in the case where there is a default moving that fairly easily, moving that defaulted loan to a good operator under good terms for us in generating nice cash flows for us. And so we’re seeing more and more of that happen over time. And so, the natural conclusion is these are loans we may either need to keep or want to keep in our portfolio.
Bill Burns: And I think what I want to add, at the same time, the institutional players we’ve been talking to are really not quite ready to buy portfolios. And so combination of those two things is leading us towards looking at a higher probability of keeping the loans in portfolio.
Frank Sorrentino: And the intention is still to have that portfolio run down, or are you originating new loans?
Bill Burns: No, we’re not originating new loans. And because the loans are non-accrual, all payments are applied to principal and the loans are cash flowing. We’ve talked about that before 5% or 6% on the outstanding. So we continue to pay the loans down every quarter.
Collyn Gilbert: And then, Frank, just you take a little bit deeper in your comment on M&A. Obviously as you indicated creating a model here that could be suited either way. If we think about targets, potential targets for you all. What would be the type of institution that you would be looking at? And do you see a change in the market in terms of potential available banks?
Frank Sorrentino: So, I’ll start with the last part first. I think there is a change. I think, there people -- other banks are realizing there is a great benefit, the size scale, technological efficiency. Efficiency is becoming the new buzz word in the entire industry. We’ve always believed in being a very efficient organization. I think there are other organizations out there that are having difficulties getting to the efficiencies that I believe are going to be required to generate the right capital creation over time. And so in some cases, it’ll just be easier for people to partner up and take advantage of things we’ve already implemented here as opposed to reinvesting the wheel. I think at the same time though we have to be realistic. And to the extent that we can have this organization that’s very well suited relative to geography being right smack in the middle of the New York metro market, I think we are an attractive target to someone who want to enter the space, or will be as we continue to grow.
Collyn Gilbert: Could we read into the rightsizing of the CRE portfolio giving you more flexibility, should you acquire another CRE heavy lender, or that’s not? Those two things are not…
Frank Sorrentino: I think, that’s a great comment. I think we are. So look, we stated earlier in the year that we were going to focus on our deposit gathering that we were going to focus on the diversity in our loan portfolio. We said these were business objectives. We’ve accomplished those things. And we’re continuing to work towards getting to a place where we’re more comfortable. I think, if we were to look at someone who was heavier in CRE, certainly, we’d be able to continue to work on whatever those issues were. So, I believe we have -- management has the focus to be able to parse what we think is appropriate. And I think that’s another reason we’d make a good partner for a number of people.
Operator: [Operator Instructions] We’ll take our next question from Matthew Breese with Piper Jaffray. Please go ahead, your line is open.
Matthew Breese: Just on the course of the real estate sale. What is the anticipated gain there?
Frank Sorrentino: Not at time, but say about 0.5% to 1% in that range.
Matthew Breese: And then thinking about the margin Bill, obviously, it held up pretty well this. But as you look behind the hood, deposit costs were up a little bit more than loan yields were. And I just wanted to get a sense for which one of those trends is going to continue more so than the other? We're growth to see a pickup in loan yield depreciation, or deposit cost increase is going to slow down. I just wanted to pick apart those two items as we think about the margin guide?
Frank Sorrentino: Well first off, you're looking at the interest bearing deposits. So right, we also need to look at the total cost of deposits, including non-interest bearing demand. So still seeing some pressure on rising rates, probably a little bit less now than it was a couple of months ago. And on the loan side, continued increase in the loan yields. Matt, it's really hard to predict, because there's so many factors. But there could be some contraction in the next quarter, but don't shoot me if we actually have expanding margin.
Matthew Breese: And then also behind the scenes, you mentioned you've hired some folks, which will be focused on deposit gathering. It sounds like loan growth and deposit growth will be more or less matched. Can you talk about some of the incentive structures and the folks that you did hire focused on that? And in terms of maybe the loan to deposit ratio where we should be modeling that out too?
Bill Burns: I'll take the incentive part of the question. It's not typical at ConnectOne Bank to have pretty much anybody here on an incentive program, strictly dependant on their volume production. That's just not the way we've built the Company. So yes, people get incentives, but it generally revolves around the success of the entire organization. And that's just been how we've created our compensation schedules and plans. I don't really love mercenary tactics where people tend to run their own businesses within business. And so we want everyone rolling in the same direction. In terms of trends in loan to deposit, we were little bit below 110 this quarter, 108 or so. I'm hopeful we'll keep at 108, maybe a little bit lower. But I'd like to always see it at 110 or better.
Matthew Breese: And then last one, it's really just ticky tacky. BOLI income was up little bit this quarter. Was there a debt benefit or anything more on that item?
Bill Burns: Yes, there was just one debt. It was one debt benefit, yes. We did purchase some more BOLI at the end of the quarter. So there’s going to be about 100,000 in income per quarter extra from the new BOLI we just purchased, and that would be recurring.
Matthew Breese: And then -- and actually on the growth side, you guys are still forecasting pretty robust growth. But as I think about some of the other commentary, especially in regard to New York City transaction volumes being down. Can you tie that into your growth commentary, and how you plan to offset such large headwinds with solid growth?
Bill Burns: Matt, there is still -- even with the lower or slower growth rate, there's still growth going on in the New York City market. We're just able to take a portion of that growth, it's a very, very small portion and there is still very high demand for sense of urgency type of transactions. We just had the discussion last night with a group of clients that they are just -- the banks in the market are just getting bigger, and the client service levels just aren’t there like they used to be. And so a bank like ConnectOne really stands out. Our name is getting out into the marketplace. We’re becoming a known entity in that New York City market, and the Borough. And so, again, if you look at it relative to the size of the loans that we’re booking there, it’s tiny relative to the entire market. So the whole market doesn’t dictate whether or not we can increase or decrease our loan growth. We’re finding great opportunities and we continue to execute on our strategy of providing a very high level of client service, and that’s generating increased loan production.
Matthew Breese: And then Bill, last one, just the tax rate came in a hair lower than what at least that what I was thinking for the quarter. Is 30% what we should be figuring on for the next year?
Bill Burns: Well, on the operating basis, we are at 31.5% but the taxi charges are expected at a margin rate of 40%, and so that’s what causes the rate to be lower. But even with that 4% rate, we still for the foreseeable future meaning next year, are still going to come in at 31.5% on our operating basis.
Operator: And we’ll take our next question from William Wallace with Raymond James. Please go ahead, your line is open.
William Wallace: Maybe just going to the CRE sales and the focus on getting that CRE concentration sub-500%. Is there a timeline in mind that you guys have that you would like to get there?
Bill Burns: Not really. It depends how things shape out in terms of building our C&I business, as well as the sub-debt transaction when we decided to pull the trigger on that with effect of timing of the CRE concentration level.
William Wallace: Would a sub-debt raise and the range that you’re thinking, would it drop you below the 100% on the construction concentration?
Bill Burns: Probably, I think we’re a little bit lower this quarter than we were last quarter already.
William Wallace: Should we be thinking about maybe staying below 100% or is that not necessarily something that you guys are focused on…
Frank Sorrentino: No one is forcing. You know what nobody is forcing us to do anything in this regard. We just think it make sense, especially with all the investor commentary around and concern about CRE concentrations to show a trend in the right direction than the lower. We think that’s important and it’ll translate into more value for our shareholders.
William Wallace: On the interest rate positioning of the bank, feel like historically you’ve always classified the bank as being asset-sensitive. But it seems like maybe you’re more positioned now for neutral. Is there -- how do you position your interest rate sensitivity?
Frank Sorrentino: Yes, it’s a good point. We were overly asset-sensitive before. And we’ve reduced that somewhat, but we still remain asset-sensitive would benefit from rising rates.
William Wallace: So all else equal, if we get a move in December, what impact do you think that would have to the core margin?
Frank Sorrentino: Just to move on the short end would have a very slight benefit, not a negative impact but a slight benefit. But of course when we're talking about interest sensitivity, it means the whole yield curve shifting up. I don't know if that's happening.
William Wallace: Yes, I mean it's obviously -- so assuming a shift, what kind of benefit would you anticipate?
Frank Sorrentino: Like a 100 basis points shift of a whole curve, 2% or so, about 2% in net interest income.
William Wallace: On the M&A side…
Frank Sorrentino: That'll be out in our Q when we understand and review the analysis, yes.
William Wallace: But it hasn't changed really from the last year. Is that fair?
Frank Sorrentino: Yes.
William Wallace: Frank, you have remarks in your prepared commentary on M&A. I'm curious as you think about ConnectOne as a partner of choice, what's the ideal candidate that you think would be somebody that you would be interested in acquiring? What are the characteristics?
Frank Sorrentino: So I think I made it pretty clear over the last year or sometime that we are still very-very much focused in this New York metropolitan market. And there're a number of names there of companies that would allow us to continue to increase our scale, would be able to take advantage of our low efficiency ratio where we think we could make a really terrific financial transaction that would increase our ability to have a bigger legal lending limit. So we can get in front of and maybe even bigger clients than we have today. So capital would be an important part of it. And of course, ideally, we'd like for someone to have a really strong deposit franchise. But with deposit gathering that we're getting today, we think we could also augment if that was not a top strength in another organization. So for me, I just think size matters in this environment. And as you look around us, there are a number of other like size or somewhat smaller organizations that I think if you put those two organizations together, you wind up with a significantly better combined entity.
William Wallace: And last question, Frank, you've always been pretty close to what's going on in New York City around CNC and Uber and other share ride platforms. I'm curious, can you just update us on what you're seeing, are there any changes coming out of TLC that could be beneficial to the medallions, or vice versa?
Frank Sorrentino: It certainly appears that the pendulum is beginning to swing in the other direction. There's a lot of negative news today about CNC for a while as it sounded like everything was going great on the CNC platform. That's no longer the case today. Certainly, there's been a tremendous amount of negativity around some of those companies, whether from internal issues or even just quality of service in the marketplace, it's not the new shiny thing anymore. The quality of the drivers has gone down dramatically the quality of the cars has gone down dramatically, and just the quality of service in general has gone down. On the other side, taxi has done a decent job of bringing a better client experience. The TLC has been very active over the last let’s call it, six months or so. And certainly, there is number of proposals on the table today that are all beneficial to taxi and taxi operators. As I predicted almost two years ago, there is a consolidation going on in the taxi industry. All the small mom and pops are basically being consolidated with the bigger operators. And I think that will continue to occur. So we’re certainly in a state of transition. But I think it’s going a little bit better than maybe what was being experienced six months or a year ago.
Operator: And there are no further questions, at this time. I’ll turn the call to management.
Frank Sorrentino: So I want to thank everyone for joining us on our third quarter earnings call. We appreciate your interest and look forward to speaking to you again on our next call in early 2018. Thank you.
Bill Burns: Thank you.
Operator: This does conclude today’s program. Thank you for your participation and you may disconnect at any time.